Operator: Thank you for standing by, and welcome to the Ridley Corporation Limited, RIC 1H FY '26 Presentation. [Operator Instructions] I would now like to hand the conference over to Mr. Quinton Hildebrand, Managing Director and CEO. Please go ahead.
Quinton Hildebrand: Thank you, and good morning to everyone. Thanks for your attendance on our conference call today. I have with me Richard Betts, who will present his final set of financial results before retiring from Ridley after 5 successful years. We also have Chris Opperman, incoming CFO, who started at Ridley on the 5th of January. Chris joins us from Energy Australia, where he was CFO. And prior to that, he was with Dyno Nobel, where he held a number of executive leadership roles, including CFO and later President of Incitec Pivot Fertilisers. For this morning's address, I'll be talking about the slides that are uploaded on the ASX website. So starting on Page 2, the financial summary. The business delivered a first-half underlying EBITDA of $55.4 million, a 9% increase on PCP. This result included 3 months' contribution from the new Fertilisers segment and a strong performance in Bulk Stockfeeds, which carried the softer outcome in the Packaged and Ingredients segment. I'll speak to the performance of each of these segments in the next few slides. As you will see, we had a very positive operating cash flow, and this has reduced our net debt, with the leverage ratio post-acquisition now at 0.8x. On the back of this performance, the Board determined a progressive dividend of $0.051 per share, fully franked. Moving to Slide 3. The Bulk Stockfeeds segment delivered an EBITDA of $27.1 million, up 25% on PCP, a very pleasing result, especially when you consider that there were $1.7 million in lost earnings in FY'25 from the Wadley feed mill, which was sold on the 30th of June 2025. This result was achieved by 13% volume growth in ruminant sales and 7% volume growth in monogastric sales, together with higher-margin supplementary feeding of beef and sheep at the start of the period. Once again, Ridley Direct, now in its fourth year, was able to generate profit by leveraging our grain and co-products procurement flows and accessing a broader customer network. Moving to Slide 4. As we foreshadowed at the AGM in November, the Packaged and Ingredients segment had to contend with a number of short-term challenges, which decreased the EBITDA by 28% to $25.6 million. Short-term ovine supply constraints at OMP due to lower lamb slaughter rates across Australia impacted sales through this period. We endured lower prices for protein meals when compared to the prior year. And lastly, we experienced some temporary processing challenges. The first was due to a slip in the main cooling dam wall during a rain event at the Maroota rendering facility. This made this dam inoperable and imposed processing constraints, requiring us to incur costs diverting material to Laverton and other processes. The second temporary processing challenge has been with the commissioning delays at the new OMP Timaru greenfield facility, which has impacted our daily throughput and yields. On the positive front, the raw supply volumes to the rendering plants grew 7%, and the packaged dog sales also grew 7%, taking up the extrusion capacity vacated from the aquafeed transition. So a challenging period for the Packaged and Ingredients segment, which should correct itself through the second half as we've added additional supply of land bones to OMP and are addressing the processing constraints with capital projects, and I'll address these in greater detail later in the presentation. Moving to Slide 5. The Fertilizer segment delivered an EBITDA of $10.3 million, above the top end of our expectations and above the PCP under the previous owner. This was achieved through good cost control and margin management in a period that is known to be the lowest seasonal demand quarter. To provide some context, on the right-hand side of the slide, we've provided the average monthly volumes dispatched by Incitec Pivot Fertilisers over the past 7 years. This clearly illustrates that our Q2 is the lowest seasonal demand period and also shows how our dispatches build in Q3 and Q4. The table below the graph offers some more detail on the timing of the various crops and the volume intensity in each month. I'll now hand over to Richard, who will take you through the financial results in more detail.
Richard Betts: Good morning, everyone, and thank you, Quinton. I will now present the financial results for the first half of FY'26, beginning with the profit and loss summary on Slide 7. Quinton has already talked you through the operating segments, which delivered a combined EBITDA for the half of $63 million. The corporate costs increased by $0.8 million to $7.6 million, with the increase primarily associated with the employee incentive schemes, which now incorporate all the employees of the IPF business. The reported underlying EBITDA of $55.4 million represents a 9% increase on the PCP. During the period, the business reported net individually significant gains after tax of $31.4 million, which related to the acquisition of the IPF fertilizer business. I will cover this in greater detail in a later slide. Depreciation and amortization for the period was $18.6 million, a $3.5 million increase on the PCP. This relates to the depreciation and amortization of the newly acquired IPF business, which totaled $3.6 million. The underlying depreciation included several significant capital projects that were depreciated for all or part of the period, including the recently completed debottlenecking projects. As anticipated, finance costs increased from $4.9 million to $8.7 million on the back of debt funding relating to the acquisition of the fertilizer business, which was partially offset by the interest received from the half 2 FY '25 capital raise. The income tax expense for the underlying operations decreased by $1.6 million as a result of the lower profit before tax. The underlying effective tax rate was 29.9%, an increase from prior periods, but in line with the lower available research and development deductions. Turning now to Slide 8 and the balance sheet. The balance sheet looks significantly different from 30 June 2025 following the acquisition and related debt financing. The pro forma balance sheet highlights the impact of the acquisition on the movement since 30 June in order to better understand the movements that relate to operations. Excluding the acquisition, working capital has reduced by $72.5 million during the period. This gain will be covered in further detail on a later slide. Property, plant, and equipment has increased by $15.3 million, with the increase relating primarily to the Ridley growth projects, including OMP's new facility at Timaru and the debottlenecking projects within both bulk stock feeds and rendering. Net debt reduced by $22.4 million, driven by improved EBITDA and the reduction in working capital, partially offset by the increase in CapEx, dividends, tax, and interest payments, all associated with the higher earnings. Now turning to Slide 9. As outlined on the previous slide, the group working capital increased significantly following the acquisition of IPF, where the business acquired $387 million of working capital. In line with what the business would traditionally hold at a September balance date, together with the additional inventory held to support the transition of the Single Super Phosphate business, or SSP, from being a manufacturing business based out of Geelong to an import-only model and the associated longer supply chain. Subsequently, the fertilizer working capital has reduced by $98 million. This was due primarily to the timing of receipts and payments associated with the export products sold by fertilizers from the Phosphate Hill facility, and management's focus on ensuring working capital reduced to align with the seasonal sales cycles. The working capital for the Ridley business units increased by $26 million, with $14 million related to receivables associated with the increased volumes. Debtor days remained at a very healthy 33 days, in line with the prior period. Payables reduced despite the higher volumes due to the shorter payment terms associated with the strategic decision to purchase increased volumes of raw materials directly from Farmgate. Moving to Slide 10, capital management net debt. During the period, net debt increased by $321 million, with $358 million used to fund the acquisition of the fertilizer business, with the difference relating primarily to the cash from operations that was used in part to fund the CapEx and the increased dividend. The business has increased its available funding lines by $500 million to $690 million through a combination of a $200 million revolver facility and a new $300 million working capital facility. Our existing and new revolver facilities have been split between 3- and 5-year tenors to provide greater certainty regarding the long-term financial capacity of the company. The working capital facility is uncommitted and provides the flexibility to manage the annual seasonal highs in the working capital cycle of the new fertilizer business. Bank leverage for covenant purposes was 0.8x, comfortably within covenant levels despite the recent acquisition of the fertilizer business. Turning now to Slide 11 and the capital allocation framework. First implemented in FY '21, this remains pivotal in prioritizing the capital within our business and ensuring we are aligned to making the best investment decisions to maximize shareholder returns. This will become an even greater priority now that have acquired the fertilizer business. During the period, the business delivered strongly against the model, including ensuring the improvement in underlying business translated to a very healthy operating cash flow of $128 million. We continue to prioritize reinvestment in our underlying asset base through the focus on maintenance capital, with spend of 60% of depreciation aligned to our committed range. We continue to deliver on the targeted leverage range, supporting the decision to increase the interim dividend to $0.0510 per share, up from $0.0475 in half 1 FY '25 and in the middle of our targeted range at 59% of underlying NPAT. Pulling all this together, the business has been able to deliver the acquisition of IPF for $357 million and still report a covenant bank leverage that is below the 1.2x targeted range. On Page 12, we have set out the individually significant items that were reported during the period as a result of the IPF acquisition that occurred on 30 September 2025. The total consideration for the fertilizer business was $433 million, which included a cash outlay of $357 million. This is $57 million higher than originally reported as we acquired higher working capital, mostly associated with the take-on balances associated with the Geelong SSP business, the higher inventory associated with the Geelong SSP business, which totaled roughly $30 million. The fair value of the assets acquired has been assessed at $489 million, which is primarily made up of $386 million of acquired working capital. Following the acquisition for less than net assets, the business has booked a provisional gain on bargain purchase of $56 million. The gain is provisional as further work will be required in half 2 to finalize the carrying values of land and buildings, long-term leases, and any future additional site rehabilitation costs. Partially offsetting the provisional gain was acquisition costs of $17.8 million, which related to stamp duty, legal, and advisory fees for the acquisition. And separately, the business has incurred $1.7 million of project office and IT integration costs. The business also incurred a cost of $5 million relating to the unwinding of the inventory step-up created as part of the provisional gain on bargain purchase. The unwind was required as the inventory has now been sold. The net effect on profit of this item during the period was nil. All of these items resulted in a net gain of $31.4 million. Before I hand back to Quinton, as he said, this will be my last official duty as CFO. And as such, I want to thank all of you that I have worked with over the journey. The 5 years have been a great ride. And as I look at these results for the half, they align with what we reported for the full year just over 5 years ago. The acquisition of IPF was a career highlight, and I genuinely believe represents a golden opportunity to transfer this company again. I wish Quinton and the team all the luck in this journey. And as a significant shareholder, I will be watching with interest from the golf course or racetrack. I will now hand back to Quinton, who will take you through the remaining slides.
Quinton Hildebrand: Thanks, Richard. I'll just take you through the strategic progress on the year-to-date and starting Slide 14. I'm very pleased with the progress we're making with the transition and integration of Incitec Pivot Fertilisers. Having owned the business for 4 months, and being confident that our pre-acquisition thesis of a regional distribution model is correct. In the last few weeks, we flattened the structure and reduced the matrix model with the appointment of regional general managers in 5 regions. They'll each have responsibility for both the sales and the execution of those sales through the primary distribution centers, making us more responsive to the customer and driving accountability for cost control. This is the model that we applied in the Bulk Stockfeeds business back in 2019, and has seen us grow to the business that we are today. The outcome of this initial restructure is the removal of 45 roles, reducing costs by $8 million per annum from FY '27 with a one-off cost of around $3 million in FY '26. The migration from Dyno Nobel's SAP platform to Ridley's Microsoft Dynamics platform is expected to take place in calendar year '26 at an estimated cost of $30 million. And once complete, should release corporate synergies of $7 million per annum from calendar year '27. And lastly, just to keep you informed, the urea offtake agreement with Macquarie Commodities is on track to commence in FY '28 upon the commissioning of the Perdaman facility. And the decision on the future supply contract with Phosphate Hill is expected in this financial year as Dyno Nobel run a process to find a buyer for that business. Moving to Slide 14, the Bulk Stockfeeds strategic progress to date. Ridley's flywheel strategy continues to drive momentum in this period, and we've secured significant new layer and dairy business. On the back of additional demand and as we are already operating 7 days a week at the Lara feed mill, we have committed to a $5.7 million debottlenecking project to complete in calendar year '26. And in November, we completed a 1.6 million concentrates production line at the Gunbower feed mill, adding a new product to our offering. On Page 16, we outlined the investments we are making in the underlying assets within Packaged and Ingredients to improve our processing performance. The first 2, the commissioning at Timaru and the replacement of the billing dam at Maroota are to address the short-term impacts we have endured in recent months. And the third additional small pack line at the Narangba extrusion plant is to replace labor and meet new customer expectations. All these investments provide the runway to significantly improve the operating cost base and deliver incremental volumes. Turning to the outlook statement. Ridley's diversified businesses and market exposures provide the group opportunities and resilience in commodity and weather cycles. In FY '26, Ridley expects group earnings growth to be driven by 9 months contribution from the Fertilizer segment, including the second half seasonal peak demand, increased market share and volume-related operational efficiency in the Bulk Stockfeeds segment, processing improvements from capital investments in the Packaged Feeds and Ingredients segment and modest commodity price recovery in the second half. For the longer-term outlook, this will be presented in the form of the FY '26 to '28 growth plan at the Investor Strategy Day on the 10th and 11th of March 2026. On the next page, we've included the program for the Strategy Day and site visits, and we're excited to take you through the expanding opportunity in Australian agriculture and how we can position ourselves as #1 in each business sector to give ourselves a competitive advantage. We'll outline what we are doing to support our customers to become a critical player in their supply chains and how we look to unlock value from the fertilizers acquisition. Ultimately, we want to demonstrate to you the resilience and opportunity of our diversified portfolio and to give you some appreciation for the platform that we are establishing for future growth. That concludes the formal part of our presentation, and I'll now hand back to the moderator and ask to facilitate the questions.
Operator: [Operator Instructions] Thank you. The first question is from the line of Apoorv Sehgal from Jarden.
Apoorv Sehgal: First question, just on the core business EBITDA, excluding the fertilizer contribution. I think going back to the AGM, you were indicating modest growth for the core business for FY '26. I can't see your line in the presence for that today. But are you still expecting the core business EBITDA to grow modestly in FY '26? Or has the weakness in that Ingredients segment potentially changed that?
Quinton Hildebrand: We are AP for the full year expecting modest growth. We expect there to be ongoing momentum in the Bulk Stockfeeds segment, and we expect a modest recovery in the Packaged and Ingredients segment in the second half. So the combination of those playing through to the statement.
Apoorv Sehgal: Let's unpack the Ingredients segment a bit more then. So the Ingredients segment EBITDA was down $10 million year-on-year. Could you maybe allocate that across the different dot points you got there on Slide 4, I'm just sort of calling out 3 things. You've got the OMP issues with the slaughter rates and the Timaru delays. You've got the lower protein meal prices and then the capacity constraints at Maroota. Could you like just allocate that the $10 million headwind across those different buckets?
Quinton Hildebrand: Well, I'll give you a high-level split on that. And as you can appreciate, there are some positives as well that are partly offset. So on Slide 4, we've got the volume increases in rendering and the packaged performance there. So I think the first impact, which is the reduction in land bones in Australia for supply to OMP would account for roughly half of what we're considering here. And then lower protein and meal prices would be about half of the balance quarter and the capacity constraints at both Maroota and Timaru accounting for the final quarter.
Apoorv Sehgal: Then if we're then looking into the second half, how much of those headwinds do you think you can recover? So I guess looking at the commentary here, okay, you're expecting higher commodity prices in the second half. So there's a little tick up there. That's good. I would presume the Maroota and Timaru commissioning issues get fixed. But the slaughter rate issue, which is obviously the bulk of the earnings fall, I think slaughter rates are still pretty weak, aren't they looking at the MLA data over the last sort of 1 or 2 months. So just keen to explore into the second half, to what extent do those headwinds kind of recover?
Quinton Hildebrand: So just starting with your last point first, which is the slaughter rates. Our supply of bones into OMP in Australia is back on track. And as I indicated just in the address, we have brought on some additional supply. So whilst slaughter rates across the sector are not back up substantially, we've sourced additional raw material. So in the second half, we are processing back at the level that we would expect. I just flagged that our main market is North America, and there's a lag in the supply chain. But for the majority of the second half, we will see that recovered position. Then in terms of the Maroota dam wall, subject to weather, that should be complete within a month, and that would return us to that position. As we progress the commissioning of the Timaru facility, we would expect incremental improvements during the second half.
Apoorv Sehgal: And actually, the one headwind I missed, I'm not sure if it was discussed on the pro. remember the $3.5 million or $3 million to $4 million hit you had from the avian AI export restrictions back in the second half of '25. Did that impact from those restrictions remain all the way through the first half of '26 as you're working through the excess inventory? And if that's the case, are we now back to normal in the second half of '26? Like is that a headwind that now gets recovered?
Quinton Hildebrand: So AP, the AI that led to the excess poultry meal in the marketplace, yes, that's there are still higher volumes in the market. And this is a combination of both that we started with high levels from avian influenza. But if you look at alternative protein sources, canola meal, soybean imports, those the protein complex was lower priced in this first half. And there is some improvement now, and that should also facilitate the movement of stocks.
Apoorv Sehgal: Yes. Sorry, last final follow-up before I jump back. Overall then, just to round out the Ingredients business, should the Ingredients segment EBITDA grow for the full year of '26 versus full year '25? Or is that too optimistic?
Quinton Hildebrand: That's too optimistic. I think where we see it, AP, is that we will see improvement in the second half over the first half. But as we reported at the AGM, that won't be caught up in terms of delivering a stronger result in terms of the PCP.
Operator: We have the next question from the line of James Ferrier from Canaccord Genuity.
James Ferrier: Richard, thanks very much for all of your efforts and support over the last few years and good luck with the next stage of your career. Can I ask, first of all, on the fertilizer business. So that from an EBITDA perspective, you talked about the growth on PCP being driven by cost control and margin management. Firstly, how did volumes compare to PCP just thinking about the sort of the tail end of winter cropping and whether or not you're seeing any early season pull forward sales volumes for the upcoming season into the quarter. So firstly, just how volumes were in that 3-month period?
Quinton Hildebrand: So it is traditionally the lowest demand quarter. Volumes were slightly lower than the prior than PCP. But as we indicated, more than offset by margin and cost control.
James Ferrier: So on that basis then, Quinton, if you think about that early run rate of cost control and margin management, which that's the sort of hitting zone for what Ridley is trying to achieve and focus area for improvement. When you look at that run rate and appreciate it's only 3 months and it's the smallest seasonal period, but how do you think that compares if you extrapolate it to the full business case earnings for the business and assuming all else equal, how do you think you're tracking relative to that business case earnings on an annualized basis?
Quinton Hildebrand: I think Ridley's philosophy is starting to get early traction. within the business. And our recent restructure and focus will support that together with the savings in the underlying cost base. So yes, early signs, but we think there's more to come through engaging the teams, particularly in the regions to be able to embrace the new approach. And obviously, some of this will be shared with customers as we grow, but that will support our volume position, which is what we see as a critical advantage relative to competitors.
James Ferrier: On the margin management side of things, a lot of what you've referenced today with organizational structures and the like is probably more OpEx centric. But within margin management, can you talk a bit about where gross margins are for the business at the moment and whether or not it's sort of BAU there or perhaps there's some management-led improvement coming through there as well?
Quinton Hildebrand: Yes. We're being very cautious in that area. We need to make sure that as we take on the business, we manage those risks effectively. And so we're engaging directly with the expertise and the team that we've inherited, where we have some significant strengths. Then Chris Opperman joining and bringing his previous experience to this part of the business is also all part of the key process for us transitioning the business into Ridley. So we're taking a conservative approach in how we manage the supply chain in that regard, although we do think as a business, we should be able to bring our general commodity risk management philosophy over time and make sure that we act decisively in the process.
James Ferrier: The second topic is on the Bulk Stockfeeds segment. AP covered a lot of the content in the packaging ingredients. But on bulk, I mean, that was a super impressive result. And we could see the volume growth accelerated from what was achieved in FY '25 across both Ruminant and monogastric. And you've referenced there some of the mix of the volumes with supplier margin subs volumes coming through. So I get that. But I'm just interested in your views on where the bulk business sits today from an operating leverage perspective and asset utilization perspective. On the assumption that volumes keep growing in this business, are you still in a sweet spot in terms of incremental volumes and the operating leverage you get from that? Or are you starting to bump up against capacity limits. And so maybe in the period ahead, you don't quite get as much operating leverage before your debottlenecking efforts kick on again?
Quinton Hildebrand: Yes. So in the South, so Victoria, Tasmania, we have got high utilization rates. And it's for that reason, expanding Lara gives us further runway. And as you can appreciate, we do operate as a network. So you do a relatively significant expansion at Lara, and it gives you all your monogastric feed mills some capacity. So in the South, where we are highly utilized and we're continuing our debottlenecking journey. In the North, so the 2 mills in New South Wales and the 2 mills in Queensland, at those facilities, we're underutilized still as in we were using only 1 or 2 shifts a day over a 5-day operation. So we have got growth capacity. They have been running at high utilization within those shifts, which is very positive. But we've got further capacity should dry conditions support increased demand.
James Ferrier: And last one for me, and maybe you could try this one to your colleagues, given you've been carrying all the load there, Quinton. Working capital expectations going into the second half, noting where you were at the December balance date for the existing business and for fertilizer?
Richard Betts: Yes. I mean, look, James, as we've always said, this business tracks against the seasonal sales cycles. So we will head into a period of significantly higher working capital within the fertilizer business. And in fact, we'll probably peak somewhere in the area of around $200 million higher than where we are at December. That is fully funded within the facilities and was always assumed in our thesis. So June will obviously be a little bit dependent upon which side of -- because obviously, June is right smack in the middle of the peak season. So there will be a little bit of where are we against that. But certainly, by the time we get to June, we will see a significantly higher utilization of the new working capital facility to allow us to adequately fund all the working capital requirements to take full advantage of that peak season.
James Ferrier: Yes. And any callouts on the business expert?
Richard Betts: Business expert?
James Ferrier: From a working capital perspective.
Chris Opperman: You're spot on. You are going into the highest point of the season, especially in February, you get the ultimate high February and March and your stock holding and you start to sell that down. And your June, July is really your 2 months that could swing around your working capital. But your general swing is about that 200 up, could be less depending on how good we go with sales in June, and that's all pharma demand.
Operator: [Operator Instructions] We have the next question from the line of Richard Barwick from CLSA.
Richard Barwick: I just wanted to do a more general discussion given the rainfall outlook looks pretty ordinary, at least on a 3-month view. So for starters, just from a Bulk perspective, I'd imagine that presents quite an attractive backdrop. And so just interested to hear your comments just then about the Queensland facilities being underutilized. How quickly can they be ramped up? And then if you got capacity in the North, but you're constrained in the South, you did mention that you operate as a network, but that network effect, does that work across the full geography? I'm just wondering if we do have a dry period, how can the Bulks actually respond?
Quinton Hildebrand: Yes. So in Bulk, the network is more regional, so state-based. So transporting finished feed from Victoria to New South Wales happens only at the margin. And what we have done in the past is set up temporary depots in the dry areas in New South Wales, and we've shipped full loads of feed direct into those regions. So we can at the margin. How quickly can we ramp up? In Queensland and New South Wales, it requires additional shifts. So it just takes training. You're looking at a 3-month period to get to full capacity as we stretch. And in the past, we have said that in an extended period of dryness, so with buildup, there's a circa $5 million EBITDA potential upside per annum in the Bulk Stockfeeds from supplementary feeding in a drought.
Richard Barwick: And that comment would relate to a widespread drought as opposed to something that we've seen more recently is very centered in the South.
Quinton Hildebrand: Yes. Yes. For the full benefit, so to speak, for the Bulk Stockfeeds business, that would have to be across the network.
Richard Barwick: And then from a ferts perspective, you talked about the other situation. So if we are running into a dry period, I know obviously, you haven't owned the business very long, but I don't know to the extent that you can see the historical data, how much of a swing factor which might we expect in the ferts business from the same conditions. So extended dry across the eastern growing regions and how negative might that be for the fertilizer business?
Quinton Hildebrand: If we look back over the history, the range in volumes is about 1.8 million tonnes a year up to 2.2 million tonnes a year. So that would demonstrate the extremities of the fertilizer volume exposure. As you can appreciate, we're geographically well spread from the North Cairns all the way through to Tasmania, South Australia Port area. So if you look at across that, you normally have a fair bit of diversification. But nevertheless, your point is absolutely right. And I think I would expect the diversified portfolio of Ridley, the fertilizer impact in a drought circumstance would be greater than the benefit to the Bulk Stockfeeds. And hard to know and all depends on what region, what timing. But if Bulk Stockfeeds is $5 million EBITDA you might find that fertilizer could be double that to the negative. So that's sort of how we're interpreting it at this point. Chris, anything to add to that?
Chris Opperman: Yes, Quinton, I think you're right, especially the width of the swing isn't that much because the 1.8 billion you were talking about, that's really extreme dry weather conditions. We're not seeing that at the moment. And then just for in year, more specifically, the business do write contracts throughout the season going into the high season. So as we stand today, we've already got a fairly large position written, which you can basically lock in.
Quinton Hildebrand: So I hope that answers your questions, Richard?
Richard Barwick: Yes, it does. And just the last one on the first. Just looking at the map in a very simplistic view. I look at some of the placement of the blue dots and the red or pink dots, some of them sit pretty close together. So in the fullness of time, do you see opportunities here for potentially some consolidation in the number of sites?
Quinton Hildebrand: So yes is the answer. We bought the distribution-only part of the business and Incitec Pivot used to be a manufacturing and distribution business. So the footprint can be enhanced as we go forward over time, and that is part of our planning. So if you're able to attend the Strategy Day on the 10th and 11th of March, we'll give a bit more color to that.
Operator: There are no further phone questions at this time. I'll now hand the conference back to Mr. Hildebrand for closing remarks.
Quinton Hildebrand: Great. Thank you, Myron. And thank you, everyone, for your attendance today and appreciate the questions. I just want to take the opportunity to publicly thank Richard for his contribution to Ridley over the last 5 years. And during that time, we have substantially driven the earnings of the business, and he has played a significant role in that. Then culminating in the acquisition of IPF last year and the mountain of work that he did in concluding that transaction. So I'd just like to thank Richard and appreciate the conscientious handover that he's done with Chris. We look forward to working for him as a critical shareholder on the other side. So thank you, everybody, for your attendance today, and thank you to Richard.
Operator: Thank you. That does conclude our conference for today. Thank you for participating. You may now disconnect.